Operator: Good morning, everyone, and welcome to the Citizens Financial Group Third Quarter 2021 Earnings Conference Call. My name is Alan, and I'll be your operator today. Currently, all participants are in a listen-only mode. Following the presentation, we will conduct a brief question-and-answer session. As a reminder, this event is being recorded Now, I'll turn the call over to Kristin Silberberg, Executive Vice President, Investor Relations. Kristin, you may begin.
Kristin Silberberg: Thank you, Alan. Good morning, everyone, and thank you for joining us. First, this morning, our Chairman and CEO, Bruce Van Saun; and CFO, John Woods, will provide an overview of third quarter results, referencing our presentation, which you can find on our Investor Relations website. After the presentation, we'll be happy to take questions. Don McCree, Head of Commercial Banking; and Brendan Coughlin, Head of Consumer Banking, are also here to provide additional color. Our comments today will include forward-looking statements which is subject to risks and uncertainties that may cause our results to differ materially from expectations. These are outlined for your review on Page 2 of the presentation. We also reference non-GAAP financial measures, so it's important to review our GAAP results on Page 3 of the presentation and the reconciliation in the appendix. And with that, I will hand over to Bruce.
Bruce Van Saun: Thanks, Kristin. Good morning, everyone. Thanks for joining our call today. We had a successful and busy third quarter, featuring continued strong execution of our strategic initiatives, good financial performance with positive operating leverage and 7% sequential PPNR growth and the announcement of three acquisitions. By playing offense, and we feel that we are taking the steps to position us for solid growth in franchise value, in earnings and in returns. Our financial performance in Q3 reflects strong revenue growth of 3% sequentially as both net interest income and fees grew nicely. NII benefited from a pickup in soft loan growth with retail up 3% and commercial up 1%, excluding PPP impact from loan forgiveness. The gradual improvement in loan volumes we have expected is materializing though held back a modest amount in Q3 by impacts from the Delta variant on the recovery as well as by supply chain issues and labor shortages. These impacts should continue to abate going forward, and we expect even faster loan growth in Q4. Interestingly, the amount of PPP forgiveness is roughly equivalent in the first and second halves of 2021, though Q3 saw a meaningful pull forward, which benefits Q3 at the expense of Q4. Nonetheless, the faster loan growth we expect in Q4 should largely offset the lower PPP impact on Q4 net interest income. Strong sequential fee growth once again demonstrated the diversity of our business model. Mortgage had a bounce-back quarter, which helped offset some seasonality in capital market fees, while Wealth hit a new record and consumer fees continued their recovery towards pre-pandemic levels. We expect this diversification to play out again in Q4 with Capital Markets poised for a strong quarter, given exceptional pipelines and Mortgage set for a seasonally softer quarter. We kept expenses under control given our efficiency initiatives, which led to positive sequential operating leverage of around 2.5%. And credit continues to be in great shape, with NCOs of 14 basis points in the quarter, well below our guidance range for the quarter of 20 to 25 basis points. These strong results across expenses and credit should continue into Q4. The strategic initiatives we're focused on across consumer and commercial continue to go well, and there's more on that in the presentation. We feel we are focused on prioritizing the areas where we can differentiate ourselves and where we have a right to win. The acquisitions we've announced year-to-date are all attractive from a strategic and financial standpoint, and present only modest execution risk. The investors in HSBC transactions give us a top 10 deposit market share in New York City Metro and over 1 million new customers who collectively we feel we can do more for. We also gained a big augmentation to our digital bank customer base from HSBC's online bank, and we gained a thin branch network in Washington, D.C. and Miami. Our integration efforts so far are progressing nicely. Our JMP acquisition is also strategically compelling. Upon closing the deal in mid-Q4, we'll have a much broader and deeper corporate finance coverage in technology, healthcare and financial services, plus we gain an equities business that is very well run, focused and highly regarded. As nonbank lenders continue to take lending market share from banks and private equity ownership of companies continues to increase, it's important that we broaden our capabilities to be able to compete successfully in this new landscape. We will increasingly generate more fee revenue across our customer base, given these expanded capabilities. Also worth noting is that the Willamette transaction dramatically expands our valuation services business with a prestigious outfit. This capability is highly synergistic with our M&A and broader capital markets effort. So to sum up, we're taking serious strides forward as an organization in 2021 and we feel very good about our positioning and our future outlook. With that, I'll turn it over to John.
John Woods: Thanks, Bruce, and good morning, everyone. First, I'll start with the headlines for the quarter. We reported underlying net income of $546 million and EPS of $1.22. Our underlying ROTCE for the quarter was 14.2%, which includes the impact of a modest credit provision benefit. Revenue of $1.7 billion was up 3% linked quarter, given growth in both fee income and net interest income. Period-end loans were up 1% in the quarter with strong originations in retail and commercial. Loans were up 2%, excluding PPP forgiveness, giving us good momentum heading into the fourth quarter. Key highlights include strong results in Capital Markets, notwithstanding seasonality, another strong quarter for Wealth and a rebound in Mortgage fees, and we delivered positive sequential operating leverage of over 2% this quarter with well-controlled expenses. We recorded a credit provision benefit of $33 million, which reflects strong credit performance with lower charge-offs. Our ACL ratio is now at 1.65% excluding PPP loans. We are in a very strong capital position with CET1 at 10.3% after returning $167 million to shareholders and dividends during the quarter. And finally, we continue to grow our tangible book value per share which was $34.44 at quarter end, up 7% compared with a year ago. Next, I'll provide some key takeaways for the third quarter while referring to the presentation slides. Net interest income on Slide 6 was up 2% linked quarter given interest-earning asset growth, stable net interest margin and higher day count. The net interest margin was 2.72%, flat sequentially as the benefit of accelerated PPP forgiveness and improved funding costs were offset by the impact of higher cash balances as well as lower earning asset yields given low rates. One highlight is our continued progress on lowering interest-bearing deposit costs, which were down 2 basis points to 14 basis points. Our asset sensitivity decreased to about 9.8% from 10.7% at the end of the second quarter. The decrease primarily reflects loan and deposit exchanges and the addition of $2.5 billion in received fixed spots in the quarter. We saw good entry points for the swaps given some steepening in the yield curve. So far in the fourth quarter, we have added another $1.25 billion. The hedging actions we've executed to-date in 2021 are one of the levers we are pulling to address headwinds from swap runoff and other impacts of the low rate environment. We expect to continue adding to receive fixed swap portfolio and further moderate our asset sensitivity as the curve steepens while maintaining meaningful upside benefit to higher short-term rates. Referring to Slide 7. We delivered solid fee results this quarter, demonstrating the strength and diversity of our fee income with strong results in Capital Markets and Wealth. Mortgage fees rebounded in the quarter, up $23 million as production fees benefited from lower agency fees, and we saw improvement in MSR hedge results. Diving further into this performance, production revenue was up $12 million linked quarter, benefiting from a modest improvement in gain on sale margins across channels, given improved agency pricing and favorable execution. This was partially offset by a decline in adjusted lock volume, down sequentially about 10%, which is broadly in line with industry level trends. As expected, we continue to see a shift towards purchase originations, which increased from about 48% of the total in second quarter to about 54% in the third quarter. The contribution from servicing operations decreased $4 million linked quarter, reflecting higher MSR amortization. Our third-party servicing book grew to $87 billion, up 3% linked quarter and 8% year-over-year. Lastly, our MSR hedging results improved $15 million linked quarter given an unusually large negative result in Q2. Capital Markets were down a bit from record levels, reflecting seasonality, particularly in syndication fees. However, M&A advisory fees were higher and our pipeline heading into the fourth quarter is exceptionally strong. Wealth fees were up slightly, continuing to build on record levels, reflecting an increase in assets under management from net inflows. Moving on to other positive fee contributors. We saw improvements in service charges and fees and card fees, which benefited from the strengthening economy as debit transactions and credit card spend, continue to exceed pre-pandemic levels. On Slide 8, expenses were well controlled, up 1% linked quarter as good expense discipline and the benefit of efficiency initiatives largely offset higher operational and travel costs. Period-end loans on Slide 9 were up 1% linked quarter or 2% excluding PPP. Retail loans are growing, up 3% and commercial loans were up 1%, excluding PPP in a tough operating environment. Average loans were down 1%, but still up 1%, excluding PPP. Diving into drivers a bit more. The diversity of our retail lending business produced another quarter of record origination though we continue to see high payouts. Strength was noteworthy in mortgage, auto and education. Commercial has seen strong underlying activity with spot loans up 1% in the quarter, excluding PPP. We had a very robust origination quarter led by commercial real estate, asset-backed lending and subscription line financing supporting deal-related activity. This was largely offset by continued elevated payoff activity, which in part reflects favorable conditions for commercial companies to access the debt capital markets. Line utilization levels were up around 50 basis points still near historic lows. We foresee a gradual recovery in coming quarters as some of the issues holding back investments such as supply chain challenges and labor shortages resolve themselves. In addition, our period-end commitments are up around 2%, which will benefit us down the road once investment picks up. Overall soft loan growth of 2% for the quarter ex-PPP provides good underlying momentum for loan growth in the fourth quarter. On Slide 10, deposit flows continue to be robust, especially in low-cost categories, and our liquidity ratios remain strong. Average deposits were up 1% linked quarter and 7% year-over-year with strong demand in demand deposits, which now make up 32% of total deposits. Interest-bearing deposits were broadly stable as the decline in term deposits was offset by growth in demand deposits and low-cost categories. We continue to make good progress on deposit re-pricing, with total deposit costs down 2 basis points to 9 basis points. Interest-bearing deposit costs were down 2 basis points to 14 basis points during the quarter with opportunity to reduce further. Moving on to credit on Slide 11 and 12, we saw excellent credit results this quarter. Net charge-offs dropped from 25 basis points to 14 basis points for the third quarter, driven by improvements across the portfolio. Nonaccrual loans decreased 4% linked quarter. Given the improving outlook and strong performance of the portfolio, our reserves decreased, ending the quarter at 1.65% ex-PPP, compared with 1.75% at the end of the second quarter. Moving to Slide 13, we maintained excellent balance sheet strength. Our CET1 ratio remained stable at 10.3% at the end of the third quarter after returning $167 million in capital to shareholders through dividends in the quarter. This is at the top of our listed capital priorities on the slide. We paused our stock repurchase program pending the investor shareholder vote scheduled for November 19. After the vote, we have the opportunity to resume repurchases with $655 million of capacity remaining under our current Board authorization. The estimated CET1 impacts of our pending acquisitions are on the slide, along with the targeted closing cap. Before I move on to our 4Q outlook, let me highlight some exciting things that are happening across the Company on Slide 14. Our TOP 6 program is in its final stages. Everything is on track, and we will achieve our targeted results. We are preparing for the launch of a TOP 7 program with more details to follow later this year. These TOP programs have been critical in the funding of our strategic initiatives and in driving positive operating leverage, which are key to achieving our medium-term financial targets. On the ESG front, I'm very excited to say that we've launched a new green deposits program to allow corporate clients to direct their cash reserves towards companies and projects that are expected to generate a positive and material impact by improving energy efficiency, promoting sustainability and reducing greenhouse gases. An area of high focus for us has been moving more rapidly to digital channels, which we accelerated given the behavioral changes we've seen coming out of the pandemic. You can see some of the year-over-year sales on Slide 15. Digital book sales, for example, are up 24%. Mobile active users are up 20%, and the number of Zelle transactions are up 34%. We continue to enhance our digital capabilities. And by the end of this year, consumers will be able to perform about 3/4 of all transactions directly through the mobile app. And by the end of 2022, this will include nearly all transactions. This provides us with strong leverage to continue repositioning our branches towards an advice-based model. Moving to Slide 16. As part of our ongoing efforts to help customers better navigate their financial lives, we recently announced several initiatives designed to make banking more transparent and accessible, including a new way to avoid overdraft fees and a commitment to helping ensure that underserved communities have access to banking services. We introduced Citizens Peace of Mind, a new deposit feature providing customers with the ability to avoid the unnecessary overdraft fees. This feature will come with new capabilities to monitor and alert customers to overdraft withdrawals and a rate period to fund their account. The financial impact of our overdraft policy seems will be to forgo the return to historical over-drafting levels. You can expect 2022 service charges and fees to stabilize around 2021 year-to-date annualized levels. The benefits of these trend changes are shown on the right side of Slide 16. We expect higher satisfaction, lower attrition and lower operational costs to offset the foregone overdraft revenues over time. Lastly, we also announced a new commitment to serving under bank communities, including the introduction of a new checking account with no overdraft fees and features that will meet the bank on national account standards. These are designed to ensure that everyone has access to a transparent, easy-to-use, and affordable transactional account. And now for some high-level commentary on the outlook on Slide 17. We expect NII to be broadly stable to down slightly, giving a lower benefit from PPP forgiveness due to the pull forward into the third quarter. NII is expected to be up around 2% in the fourth quarter ex-PPP impacts. Most importantly, we are well positioned to see overall loan growth accelerate in the fourth quarter with average loans up 1.5% to 2% or 2.5% to 3% ex-PPP and soft loan growth up around 3% or around 4% ex-PPP. We expect continued strength in retail across mortgage, education and auto. And in commercial, we expect to see growth led by subscription line financing, supporting deal-related activity and asset-backed lending. This loan growth positions us well for 2022 and helps offset the impact from PPP runoff. Fee income is expected to be broadly stable as a seasonal decline in mortgage as well as some expected pressure on margins given excess industry capacity is expected to be offset by some real strength in Capital Markets given exceptional pipelines. Noninterest expense is expected to be broadly stable in the fourth quarter, benefiting from our efficiency initiatives. And we expect net charge-offs will be broadly stable with the provision expense lower than net charge-offs. I should add that this guidance excludes the impact of the JMP acquisition, which we are targeting to close in the middle of the fourth quarter. To wrap up on Slide 18, this is a strong quarter for Citizens with good momentum heading into the end of the year. With that, I'll hand it back over to Bruce.
Bruce Van Saun: All right. Thank you, John. Alan, let's open it up to Q&A, please.
Operator:  We'll go to our first question that will be from the line of Scott Siefers with Piper Sandler. Please go ahead.
Scott Siefers: Let's see. John, maybe I was hoping you could provide a little more color on what's going on with the swap book that you've been adding to. I was hoping specifically you could sort of talk about the balance between adding new swaps and maintaining your asset sensitivity, in particular. I guess what is your preferred sensitivity to higher rates? In other words, is there something that specifically that we're targeting? Or how should we be thinking about that?
John Woods: Yes. Just kind of big picture here. I mean I think that we've, as I've mentioned, seen some good opportunities to start in this new sort of steepening cycle to start layering in swaps broadly. As I may have mentioned, our asset sensitivity is down to about 9.8% or so at the end of the third quarter. As we migrate across the entire tightening cycle that may come, we expect to try to migrate down to something that will be low single digits. And in order to get there, that would require not only the hedging that we've done to date, which would be about $12 billion in the third -- sorry, in 2021 through October, but would require in all likelihood, another $20 billion or so to get us to a low single-digit asset sensitivity when we get near the top of the tightening cycle. The other thing I'll also offer up is that the acquisitions of ISBC and HSBC will also add as sensitivity and that will require another $1.5 billion to $2 billion to offset. So big picture, our philosophy is to maintain good upside to short-term rates, which we have and the majority of our exposure is to short-term rates. And as we continue to see attractive opportunities, to monetize that asset sensitivity as the yield curve steepens, we'll continue to dollar cost average into that over time.
Scott Siefers: Okay. Perfect. I appreciate that. And then switching gears just a little, I was hoping you could talk about any differences in deposit growth trends that you're seeing between your retail and your commercial customers?
John Woods: Yes. I mean I think we're seeing good uptake and maybe we'll go ahead and let Don and Brendan highlight. But in the third quarter, we had growth both in average and spot of 1%. And I think that was driven primarily by commercial in the quarter, but we're seeing strong deposit flows on both sides. We're still seeing positive growth on both consumer and commercial, and maybe I'll just offer it up to Don and Brendan to see if they want to add anything.
Don McCree: I think that's right on the commercial side, we're still seeing a lot of deposit flow, notwithstanding the fact that we're trying to push pricing down. So we still have a little bit of surge deposits, but probably $1 billion or $2 billion, we see running off as we go into next year. So we think deposits continue to be strong well into '22.
Brendan Coughlin: Yes, similar trends on the consumer side. The noninterest-bearing deposits have been very sticky despite consumer activity and spending picking up the deposits have been hanging around. And so they're still a bit elevated with the surge deposits, the second and third round stimulus generally were not spent. They were more saved or used to pay down debt, and we're seeing that with the balances hanging around the customers' pockets. On the interest-bearing side, we're seeing a rundown of CDs and it's generally replaced with low-cost deposits with basic savings and some low interest-bearing products like CDs. So that's allowing the cost of funds to continue to gear down, consumer cost of funds all in sub 6 basis points now. So we're kind of at basement levels and still seeing the deposits very, very sticky.
John Woods: And one thing to hasten to add with the search deposits that we suspect most of that stays around and deposits stay relatively stable over time, given organic growth offsets any potential marginal runoff of some of the COVID-related deposits. So, that's a good sign.
Bruce Van Saun: The one last point to add, it's Bruce, would be the demand deposits now are about 32% of total deposits. So, that's been an effort where we've really focused on trying to raise that as a percentage of our total funding base. And we've had some good success on the consumer side in mass affluent and growing the commercial side. And so, we feel really good about where that sits.
Operator: We'll go next to Matt O'Connor with Deutsche Bank. Go ahead please.
Matt O'Connor: I was wondering if you could talk a bit about loan pricing trends. And I guess, especially in commercial, where one of your peers yesterday talked about kind of continued pressure there as new loans have come on versus kind of what's rolling off on re-pricing?
Don McCree: Yes. Why don't I take that, Matt, it's Don. We're -- it's holding up pretty well. It depends on the type of transaction, but we're seeing a little bit of deterioration, but not material. So you see it in our NIM, our NIM is holding up nicely. We're trying to stay disciplined. So where we see things -- we haven't changed our approach one bit. So we look at overall return on relationships of which loan spread is a piece of it. So we'll compromise a little bit on loan spread if we see other fee business attached to that loan. But if we don't see the fee business, we're not going to chase yield just to book a loan.
Brendan Coughlin: Yes, similar discipline in consumer. I'd say there's some asset classes still are mildly elevated on what we would tend to see in this rate cycle like auto or the spreads are a little bit expanded. We've got front book, back book challenges given the state of the yield curve that our back book, the runoff is at a higher yield than what we're putting on. But front book returns are still very, very strong. I'd say there's one or two spots where we're seeing some intensity and competition on returns, particularly where there's fintechs involved, whether it's in point of sale or student lending in particular. But we're keeping our discipline and making sure we're priced to adequate returns to support driving up our ROTCE. And we feel good about able to get growth and make that balance, as you can see in our numbers.
Matt O'Connor: And I guess, taken together, like as you think about growing loans, it sounds like you're confident that the volume is enough to offset any margin or pricing pressure going forward?
Brendan Coughlin: Yes. On the consumer side, I do, I see us continuing to be able to sort of moderately accelerate our pace of loan growth. And keep in mind that our growth levels now when you think about the last question around elevated deposits in an environment where customers are also flushed with cash. So as that starts to draw down, we expect loan growth to pick up even more as consumers need more leverage where right now, they're sitting on a lot of cash. So we feel really good about the medium term for loan growth prospects.
Don McCree: And then why don't I add to that on the commercial side, as John mentioned, the highlight numbers are strong, but we're seeing our pipelines on the loan side, not only on the capital markets but on the loan side, up 10%, 15% quarter-on-quarter and then another 10%, 15% as we go into the into the fourth quarter. We've got -- we're adding new clients that had a very good pace as we benefit from our expansion markets in particular, and we're growing our commitment book faster than our loan book. So, as utilization begins to pick up, it will be picking up off a larger commitment book. So that all feels reasonably good as we sit here today.
Operator: We'll move next to the line of Gerard Cassidy with RBC. Go ahead please.
Gerard Cassidy: John, can we come back to the swap portfolio. Can you share with us what interest rate environment you will benefit the most from with the book that you've put on, meaning, rising short-term rates by 100 basis points or long-term rates going up by 50 basis points. Can you kind of work through that? And then second, as part of that question, if you didn't put the swap book on, what would have the asset sensitivity been of your balance sheet today?
John Woods: Yes. I mean I'll just hit that with a high level. We're more exposed to the short end the curve than the long end. So pretty -- the asset, it's about 60-40 short to long and rising, frankly as we migrate through the cycle. So, the environment that will work well for us is when the Fed lift-off begins. That's an environment that will really drive net interest margins and NII upward given the un-hedged portion of our C&I book and other floating rate exposures that we have. So that still remains our most favorable sort of environment that would work well for us. And did you just give you a sense for how the math plays out on that, a 25 basis point rise on the short end drives about $80 million or so of NII for us. So that helps you kind of quantify what were -- where the benefit comes from. In terms of asset sensitivity, we would be in the low to mid-teens without continuing to hedge. And it's not really where our risk appetite is. There's rates can go up, and we hope they do continue to go up, but they can go down as well. And so there's a risk profile there that, over time, we're not only attempting to kind of preserve our asset sensitivity, but we're also cognizant of that there is downside exposure that we're taking off the table when we dollar cost average and with the swap out.
Gerard Cassidy: Very good. And then as a follow-up, John, you gave us some good data on Slide 15 on your digital metrics. I was curious, when you look at your mobile active users, what percentage of the households are mobile active users? And then second, when you look at your digital book sales, great growth year-over-year, what percentage of your sales are now coming through that digital channel?
Brendan Coughlin: Yes. Great question. It's Brendan. We look at a lot of different metrics on digital. I'd say, when we have the customers' primary relationship, the digital active users are incredibly high. It's over 80% of our customer base is digitally engaged. So, we feel good about that foundation. Our efforts now are moving from just general active to full-service transactional banking done in a much more everyday way on mobile. So we've got a lot of efforts underway across the Company, which are driving these metrics up, including in the branches and the call center efforts communicate and nudge our customers to get more engaged with digital. It's hugely retentive for us with our customers, but also, as you know, if we can get them really engaged, we can pivot the branches more to advice and there's a cost dynamic here at play that we can then go back and reinvest in the top of the funnel for customer acquisition growth. So, we feel really good about the trends in mobile and I see a lot of upside here looking forward.
Bruce Van Saun: Percentage of digital sales.
Brendan Coughlin: Sorry, percentage of digital sales. Yes, it's rapidly growing, and it's a very different category by category. Some of our lending businesses are principally digital first, and you'll see in things like student a 75% to 80% rate of digital, whereas something like DDA and deposits, it's more in the 25% to 30% range, but growing two years ago, it was in the 15% range. So, we're seeing active upticks. The branch channel for basic deposit products is still the largest source of customer acquisition, but there's some value coming into play.
Operator: For our next question, we'll go to the line of Ken Usdin with Jefferies. Go ahead please.
Ken Usdin: John, on the other side of the rate sensitivity, you had previously talked about wanting to keep the securities book around mid-teens of earning assets, and I see that you've added some securities at period end versus average. Given what we're seeing in the environment, what's your appetite for continuing to move some of that excess cash into the book? And any changed thoughts vis-à-vis what you've already talked about on swaps in terms of what you want to do and where you want the securities book to go?
John Woods: Yes. Yes, I appreciate the question. I think that you may see the securities book rise, but as it relates to a percentage of total interest-earning assets, we're still in that mode of around mid-teens or thereabouts. It could tick up a little bit, but there's not really any plans for a large change in the percentage of securities to interest-earning assets. And I think the reason for that is twofold. One is that given our loan growth opportunities, really, that's our preference is that we would prefer to deploy our excess liquidity into our loan opportunities, which from a -- when you look at our consumer lending, which is the diversity of that and seeing commercial starting to really lift off a bit, that's where we want to put that cash. And so that's what the plan would be in the near term for that to head in that direction. I think the other aspect of it is that we just have a view that the rate risk hedging, with the securities books can also double duty on. We think it's a bit more efficient to do that off balance sheet with swaps. And so that's still the plan is to dollar cost average over time in that space.
Ken Usdin: Got it. And John, on NII, in the slide deck, you talked about PPP being a 7 basis point increase sequentially. Can you just level set us on how much PPP was in the NII? And just what you expect to trail that out as the program runs down?
John Woods: Yes. I mean, big picture you've got -- I mean, I think the way I would talk about that is that all throughout the year, we've had a sense that PPP was going to be about the same first half and second half, and that's playing out. But there has been a $15 million increase in the third quarter versus the second quarter in PPP contribution to NII. That $15 million really is coming from the fourth quarter. So really, that's really the -- how it's all going to play out is that $15 million increase in PPP from 2Q to 3Q and then because of the pull forward from 4Q, a $30 million decrease from 3Q to 4Q on PPP. But I would hasten to add that ex-PPP in the third quarter and the fourth quarter, we're seeing NII growth ex-PPP, and that's really good to see. And I think we mentioned that we're up about 2% in terms of 4Q NII ex-PPP. So a lot of that PPP downdraft is getting offset given the fact that our guide is really stable to down only slightly.
Bruce Van Saun: I would just add -- Ken, I would just add that this has been an issue of great interest for analysts and investors like what's been the impact of PPP. We always view it as something that was transitory that eventually these were nice earning asset for us for 2021, but they would very quickly start to reduce, and then they would fall off and not have much of an impact on '22. So the real was can we develop enough loan growth to basically substitute core consumer loans, in particular, for the PPP loans that are running off. And we think with the soft loan growth we had in Q3 and what we're expecting in Q4, mission accomplished that we'll be in good position to offset any future impacts as it relates to the first half and all of '22.
Ken Usdin: Absolutely. And just one quick one in. How much, John and Bruce is still running off from the other retail, because that -- I know you have the Citizens Pay presumably growing in there, but what's weighing against that?
Bruce Van Saun: Yes. What's weighing against that is the personal unsecured portfolio that we've ran up about two years ago and then decided it's best when the COVID era hit to run that back down and stop new originations. So that's been a little bit of a deadweight in the unsecured area which masks a little bit the nice growth we've had in Citizens Pay and some of the rebounding that we're seeing in card. Brendan, you may have the exact numbers. So what's left of that at this point.
Brendan Coughlin: Yes. It's about a little shy of $900 million left on the personal loan book, and it's about $150 million-ish of a drag quarter-on-quarter to loan growth is one of the other book fits and rundown mode for us is marine RV as well that's all over years Longer duration that have been built in our run rate. The biggest drag is really the personal book. So $900 million or so.
Operator: We will go next to John Pancari with Evercore ISI. Go ahead please.
John Pancari: Also on the loan front, I know on the line utilization, you indicated the 50 bps increase in the gradual recovery expected. Can you just maybe elaborate a little bit more on the areas of expected strength as you see that rebound in line utilization taking hold? I know you mentioned the subscription finance, M&A and ABL, is that the areas where you continue to expect that momentum to build? Or do you expect that to broaden, and if you could comment on what areas?
John Woods: Yes. I'll make a few comments, and Don will elaborate on that. I mean I think the areas that we're seeing looking forward into commercial is, we've seen strength in asset-backed securitizations that will -- we see that continuing. Subscription line finance, as I mentioned in my remarks, in part due to M&A activity is an area of continued growth. CRE is a place where we're seeing some good uptake maybe in the office space with and in the industrial space as well. So that's starting to contribute now as well. And then to your point about C&I utilization, I mean, I think two points related to it, so we're seeing commitments rising. And even if utilization doesn't really lift off, that still provides some loan growth even if utilization levels are up just a very tiny bit if overall commitments are up, and the next still creates a positive contribution. And there's a handful of sectors that are driving that. You've got construction, energy, manufacturing or a couple of the areas. And it is somewhat broad-based. It's a small increase, but somewhat broad-based number of sectors where we're seeing small increases in utilization and maybe just turn it over to Don for any...
Don McCree: I think you kind of covered. I think the good news, John, is that we are seeing in our core middle market and C&I book, the beginnings of a little bit of daylight in terms of utilization. As John said in the opening remarks, clearly, the supply chain and the labor issue is restraining the performance of some companies. So, they're going to -- they would be performing better than they even are now if didn't have some of their supply chain problems. But we -- in the last couple of months, we're beginning to see some core C&I utilization. The financial capital markets oriented, which is where subscription lines and ABS and the stuff sits up have been really strong all year, and we expect them to continue to be strong as we get into the fourth quarter into next year. So kind of a combination of would see...
Bruce Van Saun: Probably also -- you hit on the point, the middle market is where you're seeing that take-up on line utilization for bigger companies...
John Woods: Companies that don't have access to capital markets. So the challenge that we've had on loan growth is predominantly pay downs because people are going to the capital market given the strength of the capital markets. So the middle market cash are beginning to see some light at the end of the table. And part of it is just CEO confidence, frankly. They really, really, really squeezed down on their companies. And as they begin to see COVID really begin to wane, they're beginning to grow their companies a little bit quicker at the margin.
John Pancari: Yes. Good. Got it. Okay. And then separately, on the capital markets business, I know you mentioned a few times, a very, very solid deal pipeline there. Can you maybe talk to us about how you're thinking about that that line when you look at 2022 as you're budgeting? And then also, can you remind us how much we should assume that falls to the bottom line in that business, particularly as the top line momentum really builds?
Don McCree: I think we continue to get more and more optimistic about '22. I was sitting here maybe midyear saying, wow, '21 is really a banner year. There's a lot of this that may be keying off potential tax changes, both on the M&A side and on the capital markets side. But our pipelines continue to build, and we think it's going to be very strong as we go into next year. I think my general view is you've got an environment where you're going to have a relatively strong economy, you're going to have relatively low interest rates, and you're going to have very high liquidity, and that's a very, very strong backdrop for '22. One of the things that we've got our eye on, we just don't know yet is how much is going to get pulled into '21. So we're going to have to be rebuilding pipelines maybe in the first quarter to get going. So you may see a fourth quarter, first quarter kind of upswing, but we'll have to wait until the balance of the year to see that. And I don't really -- I'd say -- I don't know what the marginal contribution is. It's actually lower than the lending business because the comp payouts are higher, but I don't have that number at the tip of my fingers. And remember, we pay a lot of different people. We pay bankers. We pay corporate finance people. We pay M&A people. We pay capital markets people, so it all blends together. And the way I look at it is our overall efficiency ratio is actually pretty good, and we're...
Bruce Van Saun: 40%.
Don McCree: Yes. So with a 40% efficiency ratio, it washes out to the bottom line.
Bruce Van Saun: Yes. And I would just add, too, that we see these secular trends. We see private equity pools of capital growing and looking to put money to work an opportunity to gain some very attractive leverage levels and financing costs are low. So those trends will continue. And one of the reasons why we're hell-bent on assembling broader capabilities, including what we've done with some of the M&A boutique acquisitions in JMP, we want to be an intermediary in those flows of putting money to work. And if our middle market companies want to sell themselves, we can take them to market and get a good price. So, we've got the customer base. We increasingly have the product capabilities. And so that's reason for optimism in on of itself. I think we'll continue to gain a lot of synergies as we look out into '22.
Don McCree: Yes. And the only thing I'd add to that, Bruce, is with JMP coming on board, it's the last piece of the puzzle, really. So not only do we have full service capabilities to help our clients do whatever they need to do. We've got a nice diversity in terms of product sets. So, it will let us kind of benefit and benefit when markets are good and the equities or the debt markets and vice versa.
Bruce Van Saun: Yes.
Operator:  We'll go next to Ebrahim Poonawala with Bank of America. Ebrahim, we seem to have lost your line, if you took yourself out of your queue. There we go, one moment. Your line is open. Go ahead please.
Ebrahim Poonawala: Just a couple of quick follow-ups. One, I think as we look through the deal closings, one, I guess, we're still on track for 1Q closing for HSBC assets, any risk of a delay there? And remind us, as you close those transactions. Are there any aspects of those balance sheets where we could see any runoff that may impact results as we look pro forma for the deal?
John Woods: I'll go ahead and start. Ebrahim, it's John. So, the expectation the expectation for HSBC is to close mid first quarter, and that's very much on track. We're deep into the sort of preparations for that. It's both a close and a conversion on a...
Bruce Van Saun: And you have the regulatory approval
John Woods: And we have the -- exactly. We have regulatory approvals in hand on that transaction. So that one is looking just exactly as we expected. And I think the other larger transaction, which was -- when you look at the overall one big strategic allocation of capital, but ISBC is a separate legal entity that we've got the shareholder vote scheduled for November 19, and the regulatory approvals are pending on that. The expectation and target for that is that we receive those approvals in sometime in early '22, and we have an opportunity to close that in 2Q. But nevertheless, that's pending, and we'll keep monitoring it. As it relates to runoff, we're not expecting to have runoff. But I think the way we've described it is that we would continue those businesses, but the front book sort of activities would have a different profile than the back book, in particular, with investors because of all the capabilities that we're bringing to the table. And so, we're not expecting to have us have any meaningful runoff, but we are expecting the loan book to have a different profile, a year or two down the line, given more C&I and more consumer lending that we'll be able to generate off that platform as you look ahead.
Bruce Van Saun: I would just add a couple of points there, John. First off, on HSBC, the price is tied to what comes over. So if there is any runoff, we would have a shock absorber there in terms of what the ultimate premium is that we pay. And secondly, just when it comes to JMP, we're working very diligently to try to get that closed mid-fourth quarter here. So we should have four to six weeks, say, in the results here in Q4, which would be accretive, of course.
Ebrahim Poonawala: That's helpful. And just one separate question. You all spend a lot of time on the payments with Citizen Pay, what you're doing in buy now pay later. When you think about Zelle and you put a stat about 34% growth in Zelle, is there more that you think? And I understand you don't call the shots in Zelle, do you think Zelle should be doing more in terms of enabling banks such as yourself to compete with some of the tech players in the business in terms of in-store payments, et cetera?
Brendan Coughlin: Yes, it's Brendan. Look, I think Zelle, the rails that have been built for Zelle are adequate. And I think the industry including Citizens needs to kind of take control of the UI layer that sits above the rails and innovate on our own around the customer experience, whether it's pure payments, that's facilitated with Zelle or whether it's purchasing something direct with the merchant, which would be more a Citizens Pay platform. So, we're making big investments in both of those environments so you can see a world where those capabilities converge a little bit. And it's a similar experience, whether you're buying something from a merchant or whether you're sending money to a friend, I think that's possible. But I think the rails are adequate. I don't necessarily think Zelle in particular, needs do anything dramatic to innovate. I think it's more around what we can do in the UI layer to make things easier for customers to increase engagement as you can see our numbers, that's happening. And we continue to want to scale that up further and get more customers deeper engaged.
Bruce Van Saun: It's just focusing on the use cases and where we can differentiate ourselves. And so we've got essential effort enterprise payments capability that's really coordinating between commercial and consumer to drive our decision-making there and make sure that we're investing in things that will really drive future growth.
Operator: And for our next question, we will go to the line of Vivek Juneja. Go ahead please.
Vivek Juneja: Just a clarification. The PPP since you've not given numbers and maybe that might make it easier and -- but if I look at the 7 basis points, that seems to equate to about $30 million in terms of the change from 2Q to 3Q. I heard you mentioned 15. So I'm trying to understand what am I missing there when we do that? I mean as I said, is it easier to just give the numbers what it was 2Q and 3Q?
Bruce Van Saun: Yes, we did give the numbers that it is a 15 delta. And the reason that it shows a 7 basis points on that is there's a numerator effect and the denominator effect, Vivek. So you have loans running off, which affects the denominator. So it really doubles the impact. You probably have about 3 basis points from the NII pickup and then you get three to four for having the loan balances run down and be forgiven.
Vivek Juneja: Got it. That's helpful, Bruce. In the roll-on roll-off on the securities yields, are you -- how is that going? Can you give us some color where that stands and how much further?
John Woods: Yes, sure. I mean, so we've had several quarters. It's gone back for a while now with securities yields falling. And I think the dynamic there has been not only the pure front book, back book, which has been negative by about 40 basis points or so. But also you've got a premium amortization, which has been a drag. And I think our outlook, however, for is that to stabilize and frankly, start to turn around in the fourth quarter. I think in large degree, we will see the front -- the pure front book, back book start to narrow, call it, it'll fall to something in the neighborhood of 30 basis points. But at the same time, we're also seeing as rates rise, premium amortization will also slow and that will provide some the -- a net positive to securities yields in 4Q.
Bruce Van Saun: So yes, it's really -- we're at about an inflection point there, Vivek. So with that steeper curve, as John indicated, front book, back book when you factor in reduced amortization, we're now going to see that turn to be a tailwind from being a headwind for the first three quarters of the year.
Vivek Juneja: Okay. If I may, one more. The other retail, you've been talking about Citizens Pay, you've signed up a lot of partners, hard to see, although because it's overcast by the runoff portfolio. What are you seeing in those loans in terms of growth the Citizens Pay related? Is there some numbers that you can give us because obviously, the combined number doesn't look so great, but I recognize it's muddied?
Brendan Coughlin: Yes. The growth in Citizens stay has been pretty substantial. So all things kind of buy now pay later is up around 40% year-over-year with balances, and we continue to see that accelerate. We've had a lot of activity in the back half of this year on bringing on new clients, and it takes a while for these things to ramp. They've got -- we pilot them, they come online, we work with merchants to bring them to life to market them to their customers. So it's a bit of a ramp-up period. And so, all the leading activities that need to happen to continue to have confidence that this can scale through 2022 and beyond are there. So, we feel pretty good that it's headed in the right direction. We're building a lot of new technical capabilities that's broadening out our value proposition within Citizens Pay as well. So, underlying very, very good, healthy growth.
Bruce Van Saun: It sounds like Kristin, that we could probably shed some light and be a little more transparent in that whole unsecured area for future presentation at a conference or in our general releases. Thanks for the question. Yes.
Operator:  There are no further questions in queue. With that, I'll turn it over back to Mr. Bruce Van Saun. Please go ahead.
Bruce Van Saun: All right. Thank you very much. So thanks, folks, for dialing in today. We always appreciate your interest and support. Have a great day. Everybody, stay well. Thanks.
Operator: Ladies and gentlemen, that will conclude your conference call for today. Thank you for your participation and you may now disconnect.